Operator: Good afternoon, and welcome to Zuora's Fourth Quarter and Fiscal Year 2021 Earnings Conference Call. Joining us for today's call are Zuora's Founder and CEO, Tien Tzuo; and CFO, Todd McElhatton. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] With that, I would like to turn the call over to Carolyn Bass, Investor Relations for introductory remarks.
Carolyn Bass: Thank you. Good afternoon, and welcome to Zuora's fourth quarter and fiscal 2021 year-end earnings conference call. Joining me today are Tien Tzuo, Zuora's Founder and Chief Executive Officer; and Todd McElhatton, Zuora's Chief Financial Officer. The purpose of today's call is for us to review our fourth quarter results as well as provide our financial outlook for the upcoming first quarter and fiscal 2022 year. Some of our discussion and responses today will include forward-looking statements. So as a reminder, our actual results could differ materially as a result of a variety of factors. You can find information regarding those factors in the earnings release we issued today and in our most recent filings with the SEC. Finally, we will be referring to several non-GAAP financial measures today, and reconciliations to related GAAP measures are included in our earnings press release. Please note that in Q2 of fiscal 2021, we began to exclude litigation charges and the benefits outside of the ordinary course of business from our non-GAAP financial measures. For a copy of our earnings release, links to our SEC filings and a replay of today's call or to learn more about Zuora, please visit our Investor Relations website at investor.zuora.com. And with that, let me turn the call over to Tien.
Tien Tzuo: Thanks, Carolyn. I'd like to welcome everyone to our call. Thank you for joining us today on Zuora's earnings call, covering our fourth quarter and our fiscal year 2021. Overall, we executed well in this quarter. We exceeded expectations across our operating results, including total revenue, subscription revenue, non-GAAP gross margin, and non-GAAP operating income. We posted our first full quarter of positive free cash flow, and we had a record upsell quarter, reflecting good momentum with our land and expand go-to-market strategy. During the past year, we solidified our leadership team, improved our go-to-market with alliances and partnerships and invested in our product roadmap, including our platform. In short, Q4 was a strong cap off to a year of transformation. We coined the term subscription economy and we intend to grow at the rate of the subscription economy to be an index, if you will, of one of the biggest trends of our time. This requires us to continue to make progress in solidifying our position as an indispensable solution provider to the best subscription businesses. For example, in previous quarters, we set our market opportunity resonated with bigger companies. Customer preferences are changing. A new survey from The Harris Poll found that 78% of international adults currently have subscription services, up from 71%, just two years ago. This is forcing big brands. So we think how they continue to drive growth in their revenues and turn their customers into subscribers. To meet the growing demand from these bigger companies, we realigned our go-to-market efforts last year, and our Q4 results reflect those efforts. We continue to see our messaging resonate with larger brands. I've been having meaningful conversations with C-level executives at some of the biggest companies in the world. They are coming to us for our expertise and staying with us for our technology. We continue to close larger deals. In Q4, we closed a record eight deals with an annualized contract value or ACV, the $500,000 or more, continuing the trend of Q3, where we closed the biggest deal in the company’s history. Our services team has adapted to this change. During the quarter, we helped over 40 customers go live. And many of these were large enterprises like Easter Computers, Bridgestone Tires, Radio Canada and Riverbed and one of the biggest Italian clothing brands. And all the while doing this, while we continue to bring down time to go live and delivering our customer value faster. We continue to invest in customer success. This year, we saw upsells with some of our largest customers in automotive, software, and the media industries and all this is happening around the world. Geographies outside of the U.S. continue to be a growth opportunity for us as we're seeing increased uplift in Asia-Pacific and in Europe. Let me share two quick customer stories, which help illustrate the value that we bring to our customers. You've seen this talk in previous quarters about our work in technology, media, manufacturing, and utilities industries. In Q4, we've welcomed a new customer from the financial services industry. If you read the press, you may think that this is an industry under attack, and being picked apart by high flying FinTech startups. But the fact is veteran financial services institutions have the customers, the brand, and they have enormous resources at their disposal. What they need is agility. And that's where we come in. Today, we're helping one of the world's largest and oldest banks take the offensive by launching competitive new consumer and corporate services offerings. We’ve given them the ability to launch new products and services in weeks instead of months or even years. The Zuora has given them the digital agility and insights of a startup. Similarly, one of the most dramatic shifts we are witnessing our manufacturers moving from one-time product sales to selling recurring services to their customers. Last year, for example, revenues of companies in our subscription economy index grew 12% while revenues in the S&P 500 declined by 2%. A great example of this shift is Grundfos, the world's largest water pump manufacturer. The Grundfos story is a great, great example of digital transformation. This is a 75-year old company, shifting from selling water pumps in boxes to delivering water as a service. And they're using Zuora to monetize the usage data coming from the centers on the pumps. With new as a service offerings, companies like Grundfos are doubling down on a recurring subscription approach to cater to their customer demands for access over ownership. You can hear more stories like this at our annual subscription experience events taking place virtually from March 23 to the 25. While we're going to have leaders from Philips, IBM, Microsoft, Xerox and others that will showcase how they're using Zuora to help launch and scale their customer-centric business models and grow their recurring revenue. In previous quarters, we've shared our enthusiasm for Zuora Revenue. Revenue recognition in the subscription world is very complex and solving for this complexity is challenging. Zuora Revenue enables our customers to achieve a faster quarter close, minimize compliance risk, and more precisely forecast the revenue impact of their business decisions. While in Q4, we saw at the combination of billing and revenue is turning out to be a powerful one. Approximately, one quarter of our new customer wins in Q4 included both Zuora Billing and Zuora Revenue. A good example is Sophos, a world leader in the next-generation cybersecurity, who in Q4 turns Zuora to help with this quote-to-cash transformation by selecting the combined power of Zuora Billing and Zuora Revenue, Sophos can go-to-market faster with new pricing models and improve their operational efficiency. This is why we continue to power many of the SaaS IPOs this year. For one of these SaaS customers, we decreased their close time from two weeks to two days, the combined Zuora Revenue and Zuora Billing solution is eliminating manual processes and automating reconciliation, data gathering, accounting validation and revenue recognition. And in fact, our NPS and customer satisfaction surveys clearly show that are more – our most satisfied customers are the ones using both Billing and Revenue. In Q4, we also continue to add to our leadership team. In January, I was incredibly pleased to welcome Sri Srinivasan as our Chief Product and Engineering Officer. Sri joined Zuora with more than 25 years of engineering and product development experience. Having played a key role in the SaaS transformations of multibillion dollar companies, including Cisco and Microsoft. Sri has the perfect background for Zuora. He is steeped in ERP, having worked on or running Microsoft Dynamics’ product line for over a decade. He has tremendous experience in scaling engineering teams worldwide. He’s a general manager's mindset. For example, at Cisco, he ran a $6 billion business unit with multiple GMs reporting to him. And most importantly, Sri has hands-on experience in working with the biggest and best companies in the world. We are thrilled that he's joined our leadership team. In previous quarters, we shared that system integration partners are a key component in our go-to-market strategy. In Q4, we saw more of our SIs actively influencing and sourcing new deal activity for Zuora. As you know, at the onset of last year, we realigned our alliances team to deepen our relationships with our SIs. As a result in Q4, SIs brought us into more deals with prominent marquee customers. Of the eight deals at over $500,000 that I mentioned previously, three quarters of those large deals were either influenced or sourced by our system integration partners. SIs are driving successful deployments over 40% of our customer go lives in Q4 involve a system integration partner and we're encouraged to see larger size such as PWC, Accenture, and Deloite building what we call prime practices where they invest in and strengthen their Zuora practices, in these cases our salespeople are selling alongside our SI partners and in fact, during fiscal 2021 these prime SI deals more than doubled over the prior year. These are all proof points that our strategy to move up market and leverage our SI channel is working. We said before that our long-term strategy is to work with the biggest and best companies in the world, both disruptors in incumbents and we continue to execute against that plan. I also believe that last year was a truly pivotal year for Zuora and marked a real inflection point for digital acceleration, you've all been reading it in the headlines and you're seeing it in the market. According to KPMG for a majority of U.S. CEOs, the pandemic has made an acceleration in digital transformation by months or even years. The move to digitization has accelerated and its benefits will be permanent. There is no going back says a report and according to McKinsey businesses that once map digital strategy in one to two year basis must now scale their initiative in a matter of days or weeks and we are certainly seeing this market shift in terms of inbound request and RFPs. In summary, we were pleased with our execution this quarter, capping off an unprecedented year with a strong finish. We continue to make steady progress on the operational improvements we've outlined in previous quarters, we continue to innovate and we've laid out a foundation that has in during fiscal – with positive momentum. While we have plenty of work ahead, I believe that we are headed in the right direction and we are really pleased with our continued steady progress. A couple of comments purposely short today as we are planning on holding Analyst Day on April 12. We will be showcasing our new senior management team, letting you hear from some of our customers and partners and update you on our recent progress and plans as we look ahead. We'll issue a press release with more details in the coming week, but for now please mark your calendars for April 12. And now, I'll turn the call over to Todd to review our financials. Todd.
Todd McElhatton: Thanks Tien and thanks to everyone for joining the call. As Tien noted, our team executed well during the fourth quarter as demonstrated by our financial results. Exceeding expectations across all our key financial metrics. In FY2021, we laid the foundation for long-term growth. I'm pleased to see the incremental progress we made in Q4. As we look ahead, we plan to continue to focus on growth, predictability, improving net dollar retention and driving efficiency. Let me first review our key metrics. As Tien noted earlier, Q4 was highlighted by traction in the large enterprise segment. Looking at our customers at or over $100,000 in ACV, we ended with 676 customers. This customer group continues to represent 90% of our business. During Q4, the size of customer deals we added was larger than our historical levels, primarily as a result of our continued success and moving up market to serve larger enterprises. We closed eight deals with ACV of $500,000 or above a record for deals of this size and notably three quarters of these large deals were influenced or sourced by an SI partner. Net dollar retention improved to 100%. As a reminder, we track net dollar retention on a trailing 12-month basis. As a result of this, it is a lagging indicator. The higher churn level we experienced in Q2 of fiscal 2021 will weigh in on this metric until we lapse it in that quarter. Turning to transaction volume, our systems processed $17 billion worth of volume in the quarter. This represents a 30% year-over-year growth. As a reminder process transaction volume is helpful in understanding how much of our customers' business is running through our platform, however does not track linearly with quarterly revenue as customers gain efficiencies as they scale. Next, let me review our financial results. Subscription revenue grew 90% year-over-year to $65.1 million. Note that Q4 subscription revenue included a one-time non-recurring benefit of $1.2 million, which was not reflected in our Q4 guidance. This was primarily due to legacy customers that elected to extend the on-premise license as they transition to our Zuora Revenue cloud offering. Professional services revenue decreased 10% year-over-year to $14.2 million. We view this as a positive trend given our success in shifting more of our services work to our system integrator partners. This is within line of our strategy to improve our mix towards more recurring subscription revenue. In Q4, subscription revenue represented 82% of total revenue, the highest level since our IPO. This resulted in total revenue growing to $79.3 million for the quarter. Looking at our margins we continue to make strides. We have been successful at driving the mix of subscription revenue as a higher percent of total revenue. As we drive more and more professional services to the SI channel, our overall gross margin improved. As a result of the success our blended gross margin reached another high. Non-GAAP blended gross margins increased to 66%, a meaningful improvement of 840 basis points from the prior year. Non-GAAP subscription gross margin reached 80.5% which also was the highest in our company history as a public company. Non-GAAP services gross margin with a negative 1% consistent with what we shared in past calls. We will continue to run services on a breakeven basis as we engage more with our trusted SI partners. Non-GAAP operating loss was $1.8 million in the quarter, reflecting an improvement of $9 million from the prior year. This was driven by reduced spend on T&E events, office spend as well as some one-time top line benefits and our improving gross margins. This resulted in the non-GAAP operating margin of negative 2% ahead of expectations. Now let's turn to billing and free cash flow. Calculated subscriptions billings with $86.4 million, reflecting a growth of 16% year-over-year, an improvement from the prior quarter. We had expected this to be in the high single digits, but it was higher primarily due to a up-market enterprise win, however, approximately 3 points of this growth was due to a mix shift in payment terms and early renewals. Looking ahead due to some of the early renewal activity we saw in Q4, this will impact our subscription billing growth in Q1. As a result of this impact, and our traditional seasonality in Q1 we expect calculated subscription billing to grow approximately 10% year-over-year. For fiscal 2022, we expect calculated subscriptions billing to grow in the mid teens year-over-year. Free cash flow was $2.1 million driven by prudent spend management and strong collections activity during the quarter. This was our first quarter with positive free cash flow. CapEx for the quarter was $1.1 million. For Q1, we expect to be free cash flow positive driven by seasonality. As I had mentioned in the past, it's important that we continue to improve our operating leverage and create efficiencies in the business. I'm pleased that we're making good progress in this area, which is showing up in our free cash flow. Turning to cash; we ended the quarter with $186.6 million in cash and cash equivalents, an increase of $7.8 million over the prior quarter. We continue to be prudent with respect to spending levels and are pleased that we maintained a healthy cash position to manage the business. Our fully diluted share count at the end of the quarter was approximately 134.6 million shares, using the treasury stock method. In Q4, we continued to execute and drive improved performance. Our quarter-over-quarter pipeline is growing. We're continuing to be very disciplined in our investments and going after larger customers and working with our SI partners. Now let's turn to our financial outlook. Our subscription business model continues to be resilient and given the visibility of our model, we will guide for both Q1 and full year fiscal 2022. During fiscal 2022, we will accelerate our investments in go-to-market and product development, while absorbing costs that were not in run rate last year. We also expect to be cash flow positive for the full year. For Q1, we currently expect total revenue of $78 million to $80 million, subscription revenue of $63 million to $65 million, non-GAAP operating loss of negative $5 million to negative $4.5 million. Non-GAAP net loss per share minus $0.04 to minus $0.03 assuming a weighted average share outstanding of approximately 121.6 million. As we look ahead to fiscal 2022, we will remain agile to quickly to respond to changes in the macro environment. For fiscal 2022, we expect total revenue of $335 million to $337 million. Subscription revenue of $272 million to $276 million. Non-GAAP operating loss of negative $12 million to negative $8 million. Non-GAAP net loss per share of minus $0.10 to minus $0.06 assuming a weighted average shares outstanding of approximately 123.9 million. In closing, we're very excited about Zuora's long-term opportunity. As Tien noted, we'll discuss our forward plans in more detail at our Analyst Day set for April 12. Now Tien and I will open the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Joseph Vafi with Canaccord. Your line is open.
Joseph Vafi: Hey, guys, great results - excuse me, great results here. Nice to see the accelerating pace and cadence in the business. Thought maybe we'd kind of maybe drill down a little bit into your comment, Tien, on a record upsell quarter. I know you said that a lot of initial deals had revenue as part of the mix. I was wondering what was in that upsell and the composition of it? And obviously, with net retention trickling up, there must be an implication with record upsell this quarter, combined with the trail off a little bit in a couple of quarters of headwinds last year, and what that means to net retention in a couple of quarters and then I have a quick follow-up. Thanks.
Tien Tzuo: Sure. I'll go ahead and field that. But Todd could jump in with some of the numbers. I think there are two different things. The first thing was, we definitely saw strength in the Zuora Billing and Zuora Revenue combination. And a lot of those were going – are going to be new deals, new companies coming on board saying, I want both products at once. I see the combined strength of the product really being a big, big advantage. And so that certainly felt really, really good. We also saw, separate from that, just strong upsell quarter. I would say, that really is a reflection of our investment in customer success. You heard us say in previous quarters, we restructured the sales team to avoid the old hunter farmer thing, but really say, if you close the customer, you really own that customer for a long period of time. It helps build a strong customer relationships. And so the systems and tools that we've been putting in place over the last year are really starting to kick in. And you are absolutely right, the strong upsell quarter did help us tick net dollar retention back up a point from 99% to 100%. Todd, anything you’d add to that?
Todd McElhatton: Yes, I would hit, Joe, thanks for the comments that we also did much better from a standpoint of improving the upsells coming from areas like add-ons. So we have less volume-dependence this quarter and we're selling some of the other products coming out of the R&D group.
Joseph Vafi: Great, thanks. And then just maybe a couple of quick follow-ons. Any color on the large wins this quarter, I know it was 8 greater than 500K, maybe industry breakdown among those eight? And then secondly, as you kind of move through the noise on the net retention number this fiscal year, I'm just wondering if you see there being a more close correlation between net retention and payment volume growth over time? Thanks a lot.
Tien Tzuo: Yes. When I look at the eight deals, I would say, outside of the fact we called out there is one global bank that we worked with is probably our strongest foray to-date into the financial service industry, something we haven't talked about in the past before. So we continue to see the expansion of the subscription economy to industry after industry. That's a really important part of the overall investment thesis, if you will, on us. And so, we're glad to see that happen. The other ones, I would say, are the standard mix technology manufacturing really across the board, nothing specific to – no specific changes.
Joseph Vafi: Great.
Operator: Your next question comes from the line of Scott Berg with Needham. Your lines of open.
Scott Berg: Hi, Tien and Todd. Thanks for taking my questions here. I guess, Todd, I want to start on the Q1 guidance, especially the subscription revenues. Even if I back out the $1.2 million one-time benefit in the fourth quarter, your Q1 guide effectively flat from that Q4 adjusted. Is there something else going on in the subscription revenues for the quarter, because I wouldn’t thought that number might be a little bit better given what the billings number was in Q4?
Todd McElhatton: Yes. So, Scott, thanks for the question. So two things. You're right. We certainly have the $1.2 million of one-time. The other thing I direct you to is, there's only 89 days in Q1. So those three days that we lose do hit us with several million dollars.
Scott Berg: Got it. Helpful. And then, Tien, from an upsell component, you sound pretty positive obviously, but I'd say the commentary on Zuora Revenue. Were there other - any other modules that had kind of good upsell in the quarter? Or was it really kind of focused on the commentary with RevPro on the upsell as well as new deals?
Tien Tzuo: Yes, Scott, that's a great question. It was not just Zuora Revenue, it is really across the board. If you think of us, think about us as a multi-product company, right? Every day that passes, we're increasingly becoming though. We have Billing. Certainly, we have Revenue. We have our Collect product and we have a platform products and all those products, we're able to monetize. And so, when I look at the mix, it was a good set of customers, many different industries, many different sizes. It wasn't concentrated on a few customers. And so I feel really good about the overall upsell engine kicking in. And one other thing too is we announced that we're going to have this Analyst Day on April 12. And so our goal is to give you a lot more detail about the four key products that we have and break it down a little bit better.
Scott Berg: Great, looking forward to it. And then I guess one last question from me, Tien, you had mentioned that you expect the company to grow at the rate of the subscription economy. Now that we're through the pandemic, or at least hopefully through the pandemic, what is the growth rate of the subscription economy over the next maybe three to five-year time horizon that you're striving the company grow at?
Tien Tzuo: Yes, it's a great question. When we look at the subscription economy, you can certainly pick sectors of the subscription economy that are on fire, right? So collaborative software is a great one. I would kind of point you back to our SCI index and it's something that we've been publishing over the last three, four, five years. And it shows a good steady pace of growth of between 25% to 30%, right> Last year, certainly, there was a COVID hit where it only grew about, I think, the low teens about 10% to 15%. But we also said that in Q3 and Q4, we're starting to see that trend back up to the pre-COVID rates, if you will. And so when you look at the sector overall and you look at all the industries that are shifting, we would say that it's growing in that 20%, 25% range on a year-over-year basis. And as a leader in that space, I wouldn't fault you for expecting us to really grow at that pace.
Todd McElhatton: Hey, Scott, I would also add to Tien's point. I think we gave some color that we expected for the year, the acceleration of the calculated subscriptions billing to the mid-teens. And when we get together in April, we'll give you some more color on how we see the next few years rolling out.
Scott Berg: Got it. Super helpful. Thanks for the color, guys.
Operator: [Operator Instructions] Your next question comes from the line of Brent Thill with Jefferies. Your line is open.
Luv Sodha: Hey Todd and Tien. This is Luv Sodha on for Brent Thill. Congrats on a nice quarter. And thank you again for taking my questions. The first question really is routine, now that you have Sri on board and it seems like an impressive hire, could you maybe talk about the trajectory of the platform you already have Zuora Analytics that was launched say two quarters ago and you announced some improvements in billings. So what can we expect in the future in terms of the platform and the product really.
Tien Tzuo: We just – we continue to see good uptake on the platform and good contributions from the platform into the revenues – for example the upsell revenues that we saw, really said about Sri and he comes to us with over 10 years of ERP experience, he understand the shift from ERP systems that are based on products and orders to this new generation of ERP systems that are they built around the subscription where the subscription object, and this is Sri's words is the fulcrum across the entire business. I would say, Luv, look forward to seeing you on April 12. I think Sri will be a big part of that day, Robbie will be big part of that day, and we look forward to really unveiling some of the thoughts that we would put it together with Sri in the entire organization, the entire product organization that we're really excited about.
Luv Sodha: Got it. And a kind of quick follow-up for Todd, if I may. Todd – so if I look at the margin guidance it implies a healthy leveraging for the first quarter, but for the full year, some of that leverage is not as big as the first quarter that we see. Is there are some investments that you planning in the back half of the year, be it in sales and marketing and R&D that might not be – that we might be missing.
Todd McElhatton: Hey, thanks, Luv, so as I said, we expect to be free cash flow positive for the full year and 2020 was really an odd year. We had a lot of expenses that didn't occur and we're also really prudent with our spend. We're committed this year again to being free cash flow positive while absorbing those cost as we open offices, but we're also accelerating investments in go-to-market initiatives and product development, while absorbing the same cost and so I think that's why you're seeing your – margin.
Luv Sodha: Got it. Perfect, thank you again.
Operator: Your next question comes from the line of Chris Merwin with Goldman Sachs. Your line is open.
Chris Merwin: Thanks very much for taking my question. I wanted to come back to those eight large yield of $500,000 or more. Can you talk a bit about Billing and Dynamics with those, were those kind of at the four suite of your products and is that something that we should expect more going forward? Thanks.
Tien Tzuo: Yes, I like the fact that we have that flexibility, right. We want to really meet customers where they are, so we can land with the launch of just the billing system. We can launch with just revenue recognition, help them bring down the time to close. But the combined product really shows its strength. If you look at those eight deals, they're going to be less of a deal where you're launching something and more where we've already got an existing business, we've got $100 million of revenue. We got $1 billion of revenue, the way we're doing it, whether it's through a homegrown system, right, a commercial system that maybe we scaled out off of or through manual processes, right. The combined system is really what gives us the agility that we need to take advantage of this market, this continuity with digital acceleration and winning the marketplace. And so I would say, it really shows the strategic aspect of what we do. And when I look at 2020, if there's one takeaway that I would say looking – working with our customer base is, especially in the period of deep uncertainty, that's where the agility that our products provide really, really shines.
Chris Merwin: Okay, great. Thanks very much. In terms of one of the question I had was on verticals. I know that I think from a go-to-market perspective, there was an effort to focus on some of your core verticals. We've had a lot of success, but then obviously, we're hearing about now, big deal in the financial services sector and which has not historically been as big a sector for you. So can you just talk a bit about your vertical focus from a go-to-market perspective and how that's playing out relative to your expectations?
Tien Tzuo: Yes, just to be clear, we never said we're going to limit ourselves with the three verticals. I would say, if you look at the explosion of subscription economy, there's so many companies and so many industries that are saying, what do I do about this, right. And what we want to do is we want to make sure that we continue to have good productivity in our sales organization. And so rather than saying, hey, let's give the sales reps the phone book and have them call every single company, the company they want. Let's be smart about where we're seeing the strongest traction and this isn't just a vertical, sometimes there are sub-verticals inside of these, right. And it might industrial manufacturing inside the entire manufacturing sector as an example. And so let's be smart about that. If we can focus our demand gen efforts in verticals that we believe are growing the fastest and are the most ready to move, that's going to make us that much more productive. Now that being said, look a leader in the financial services industry, that's committed to subscription economy and is looking to transform, right. We're more than happy to engage with them. And so think of the vertical strategy, not as a way of limiting our focus, but they're really focused our go-to-market organization of where we see the most opportunity to be.
Todd McElhatton: Hey, Chris, it’s Todd, I think I would add to what Tien said is look, the pipeline generation and the overall deals have been highly concentrated in that, which gives us good economies of scale. But I think you need to the last three quarters, we've had significant wins that are outside of those verticals. So the verticals are certainly helping us be much more efficient on our go-to-market, but it doesn't limit us.
Chris Merwin: Understood. Thank you.
Operator: We have time for one more question. This question comes from the line of Stan Zlotsky with Morgan Stanley. Your line is open.
Stan Zlotsky: Perfect. Thank you so much guys. The question that I have is really just bigger picture, right. The subscription economy growth of 20% to 25%, you guys are one of the leaders in the space. First question is, how do you estimate that the subscription economy is growing really 20%, 25%. And when you think about the growth that you guys are expecting for 2021, when do you think we can start to see you guys start to approach the growth that we're seeing across the rest of the subscription economy just more broadly?
Tien Tzuo: Yes. So we looked at a bunch of different sources to answer your question is how do we estimate it. We obviously have something, we call that subscription economy index. And the benefit is we actually see some of – a lot of the revenues flow through our service. And we cut across industries, geographies, it's a subscription economy index report. Our report told us the subscription economy index last year grew at about 15%, right. And it had a COVID impact, not as bad as non-subscription businesses as you're seeing – continue to see that dichotomy. But that's certainly what we saw. Look, we're also said that in order to continue to grow, there's some changes that we had to make, right. And you've certainly been part of listening to what we've been talking about over the last three, four or five quarters, the move-up market, focus on SIs, the reliance on the platform to do last mile customization. I would say when I look at Q4 and before that, when I look at Q3, right, those changes that we were making are really starting to take hold and it feels good, it feels good. And it makes me see that we're going into FY2022 with a really, really solid foundation. And so, our goal is to continue to show incremental benefits on a quarter-to-quarter basis and continue the trend that we're seeing in Q3 and Q4. And that's really what's behind the guide that we're giving.
Stan Zlotsky: Got it. And just look – in fiscal 2021, 2020, right, there's not a whole lot of appetite from prospects or even customers for that matter, right. To undertake big transformational projects such as really ripping out the business model the way it is. They have it right now and bring in a subscription business model that would be powered by Zuora. When you look at your pipelines into fiscal 2022 and calendar 2021, what are you hearing from prospect as far as just the appetite to do that kind of transformational change within their organizations heading into the New Year?
Tien Tzuo: Yes. Hey, Stan, that's not what we're seeing. We're seeing that the appetite for these new business models is stronger than ever, right. And 2020 was a wake up call to say, if I had a business model that relied on selling product through physical distribution channels to get to my customer, I'm incredibly vulnerable. The flip side of it is if I had a business model that was depending on usage, consumption, direct-to-consumer relationships and digital relationships, I'm actually doing really, really well. Inside of these incumbent companies, where they have a mix, they have a traditional product-centric business model, and they have a new digital subscription based business model. They're seeing where the growth rates are. And so we're actually seeing many companies lean in. Now, a lot of the times they're new to this, right. They need to be guided by this. This is why one of the things that important part of our strategy is in calendar 2020 was the creation of what I call the subscribed strategy group. That's really guiding these companies and what to do, right. Here's how you set up an innovation arm. Here's how you move fast, in many ways, what digital is about is saying, there's this whole white space now of customer value that you can create that goes beyond what you've traditionally done with your physical products. Right now that your products are connected to the internet, now that they have a digital aspect. And so we guide them on how to do, how to find that product market fit and how to find the right business models to monetize these new value areas that they can go into. That is the story of Caterpillar. That is the story of Fender. In many ways, that's also the story of Zoom, right. They're seeing companies like Zoom, just go on fire and they're saying, this is where the future is lying. And so whether I look at my pipeline, whether I look at my request for proposals, where – I'm having conversations directly to the CEO level, with CEOs around the world of multi-billion dollar companies. Again, they're really just waking up to the power of this business model and they're leaning in.
Stan Zlotsky: Perfect. I think that's a great recap of what you're seeing into the year. And thank you so much for giving it to us.
Tien Tzuo: Absolutely.
Todd McElhatton: Thanks, Stan.
Operator: There are no further questions at this time. I will turn the call back over to Tien Tzuo, CEO.
Tien Tzuo: Thank you everyone for joining us today. And this is a great call and I hope and expect that you will all join us on Analyst Day on April 12. You'll get a chance to hear from additional senior executives as we dig deeper into our products, into our plans for the future. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.